Operator: Greetings and welcome to the ArcBest Third Quarter 2022 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded on Tuesday November 01, 2022. I would now like to turn the conference over to Mr. David Humphrey, Vice President of Investor Relations. Please go ahead.
David Humphrey: Thank you for joining us. On today's call, we will provide an update on our business, walk you through the details of our recent third quarter 2022 results and then answer some questions. Joining me on today's call is Judy McReynolds, Chairman, President and CEO of ArcBest; David Cobb, Chief Financial Officer of ArcBest; Danny Loe, ArcBest President of Asset-light Logistics & Chief Yield Officer; as well as Dennis Anderson, ArcBest Chief Customer Officer. To help you better understand ArcBest and its results, some forward-looking statements could be made during this call. Forward-looking statements, by their very nature, are subject to uncertainties and risk. For a more complete discussion of factors that could affect ArcBest's future results, please refer to the forward-looking statements section of our earnings press release and our most recent SEC public filings. To provide meaningful comparisons, certain information discussed in this call includes non-GAAP financial measures as outlined and described in the tables in our earnings press release. Reconciliations of the GAAP financial measures to the related non-GAAP financial measures discussed in this call are also provided in the additional information section of the presentation slides. As a reminder, there is a conference call slide deck that can be found on the ArcBest website arcb.com, in Exhibit 99.3 of the 8-K that was filed earlier this morning, or you can follow along on the webcast. We will now begin with Judy.
Judy McReynolds: Thank you and good morning everyone. I want to start by recognizing the hard work and dedication of our leaders and entire team here at ArcBest, who work hard every day to keep the global supply chain moving. As we look back at the third quarter and forward to next year, our three point growth strategy remains our North Star and our grounding in an uncertain environment. We are confident that ArcBest is well positioned today with a solid foundation to serve customers and create value for shareholders long into the future. Because of our sustained performance, our strong balance sheet and our disciplined approach to capital allocation, we are positioned better than ever to continue investing back into our people, solutions and facilities throughout changing market conditions. Our people are at the heart of our business and enable our company to stand apart from others in the industry. People come to ArcBest and stay because of our value based culture and we continue to focus our efforts on hiring for the long-term. We are known for leading edge integrated solutions, providing our customers the flexibility they need in their supply chains. We bring our technology and innovative mindset to every partnership, building processes and digital capabilities that make it easier and more efficient to do business. We prioritize investments in these critical parts of our business to stay ahead and succeed now and in the future. As we approach our 100th anniversary, we remain focused on improving our facilities and equipment. We have planned and completed facility improvements and expansions this year to ensure we meet and exceed our customers' expectations while maintaining ArcBest position as a leading place to work. We recently opened a new facility in Indiana and we'll add a new warehouse to our network in early 2023 in Salt Lake City with more to come. We have also invested significantly into our fleet and as a result have one of the newest fleets on the road helping us reduce our emissions and maintenance costs. This year we are on track to deliver $5 billion in revenue for the first time in our almost 100 year history, a nearly $1 billion increase from last year. And what is most exciting is that our growth opportunity remains tremendous with our team working toward achieving our long-term financial target of $7 billion to $8 billion in revenue by 2025. A big part of this growth is due to our longstanding partnerships with customers and the trust they have in us to find the right solutions to help solve their most complex supply chain challenges. We estimate a cross-selling opportunity of over $5 billion per year with current loyal customers. A perfect example of this came earlier this year with a long time asset based LTL customer that was struggling to find capacity. We partnered with them to develop a pool distribution solution, including truckload that helped them get equipment capacity they needed. As a result, our total business with this customer across all solutions increased 6x over 2021 and our asset-based shipment volumes for this customer increased 3x. In addition to this growth, we are now exploring an expansion into more of this customer's business units. ArcBest has a rich history of innovation and we continue to see a tremendous opportunity to serve our employees, shippers and capacity providers more effectively and efficiently by leveraging technology. In fact, over half of our top tier technology projects are expected to drive additional business efficiencies. As we navigate a changing industry and economic backdrop, company leaders have access to advanced reporting tools that help them understand performance and costs better than ever before. We are enhancing the utilization of our asset based network with levers like dynamic pricing and we're encouraged by the route optimization work that we've mentioned previously with our pilot locations seeing both revenue growth and efficiency gains. And now I'll turn it over to David Cobb, who will take you through our financial results and provide an update on investments to facilitate long-term growth.
David Cobb: Thank you, Judy. I'll begin by highlighting our consolidated results. We reported third quarter revenue of $1.4 billion, an increase of 33% over the prior year quarter reflecting business growth in all segments. On a non-GAAP basis versus last year's third quarter, consolidated operating income increased 33% to $131 million. Our adjusted third quarter 2022 earnings per diluted share grew 43% to $3.80. The effective tax rate that we use was used to calculate the third quarter 2022 non-GAAP EPS was 26.3%. Under the current laws, we expect our fourth quarter non-GAAP tax rate to be comparable to the rate in the third quarter, which may be impacted by discrete items. Our business generated solid cash flows this year benefiting from strong customer demand for our logistics services in a favorable pricing environment. We ended the third quarter in a net cash position of $48 million improving from a net deposition at the end of second quarter. Our total liquidity of $541 million remains at a very healthy level and the composite interest rate on our debt at the end of the third quarter was 2.7%. Last month we amended our existing credit revolver agreement extending the term of the facility through October 2027 and improving the terms including converting it from a secured facility to a senior unsecured facility, which reflects ArcBest strong credit profile. We also moved to a sulfur based borrowing rate to prepare for the planned discontinuation of LIBOR. In our asset-based business, third quarter revenue was $792 million, an increase of 16% compared to the prior year quarter. The third quarter non-GAAP asset based operating ratio of 85.3 is a year-over-year improvement of 140 basis points. The third quarter results were impacted by gains from property transactions and sales of revenue equipment offset by increased cost in some areas of our business. We currently expect to receive all plan 2022 tractor purchases by the end of the fourth quarter, however delays in the timing of tractor deliveries earlier in the year and the accelerated sale of a portion of our tractor fleet resulted in elevated maintenance costs during the recent quarter, which are in the fuel supplies and expenses line on the asset-based income statement. The tractors we sold had a high total cost of ownership including maintenance expense. However, in the current favorable equipment market, their disposition produced gains, but the timing of those sales was earlier than our normal trade cycle contributing to a short term slightly higher average fleet age. In addition, parts, repairs and maintenance have been impacted by supply constraints and inflationary costs. As new replacement equipment is onboarded in late 2022 and into 2023, we expect our equipment maintenance expense to be positively impacted over time. Though we have had overall success throughout the year in our hiring efforts above normal cartage usage in some locations as well as the lower productivity levels of the new employees have added cost in our asset-based network. Our team is focused on optimizing cartage uses – usage and reducing this expense, which impacts the rents and purchase transportation expense line. Third quarter tonnage increased 4.4% and shipments increased 2.8% and total third quarter build revenue per hundredweight increased 11.1% and included the impact of higher fuel surcharges. This price increase percentage compares back to the 17% increase in build revenue per hundredweight in the prior year third quarter over the third quarter of 2020. While the month just ended yesterday, our initial figures indicate that daily tonnage in October was running 4% below the same period last year while shipments have increased approximately 1% of the prior year period. Our LTL rated business drove the revenue and shipment growth, which was partially offset by fewer heavier weighted truckload rated shipments. This mix change of lower truckload business in the asset based network reflects our actions to optimize revenue as market conditions change. On a sequential basis, the change from September to October 2022 in our core LTL-rated tonnage and shipments is in line with the historical average and weight per shipment is increasing. Additional details on our preliminary October 2022 business trends can be found in the 8-K exhibit file this morning. Moving to Asset-Light, third quarter revenue increased 63% versus the prior year period reflecting the addition of MoLo and more events and higher revenue per event in the FleetNet segment. Third quarter Asset-Light non-GAAP operating income increased 61% over last year, benefiting from demand for our truckload and managed solutions. As mentioned last quarter, and according to publicized industry information, market rates have softened, which are reflected in the lower sequential monthly year-over-year revenue growth rates. This effect combined with business mix changes and investments in growth initiatives resulted in a lower level of third quarter operating income compared to this year’s first and second quarters. Third quarter Asset-Light EBITDA was $22 million, an increase of 53% versus the same period in 2021. Preliminary Asset-Light business trends for October 2022 have also been provided in this morning’s 8-K exhibit. The preliminary October daily revenue increased 40% over the same period last year. We continue to see revenue growth moderate and some margin compression relative to earlier in the year, reflecting market conditions and business mix changes. Beginning today, the prior comparison will include MoLo. Net capital expenditures totaled $119 million through September, and they should be in the range of $200 million to $210 million by the end of the year. As I mentioned earlier, we currently expect to receive all of our 2022 Class A tractor orders, and we continue to make further progress on upgrading and expanding our real estate, and we have a multi-year plan for future ABF network investments. Capital expenditures on some real estate projects in addition to the revenue equipment that I mentioned earlier have shifted into 2023. As a result, we expect our 2023 capital allocation for solid return generating investments in the business will be at a higher level than 2022. We plan to provide more details with our fourth quarter earnings release. Our cash resources and the strength of our balance sheet have allowed us to pursue multiple value enhancing capital allocation strategies, including investing in organic growth, evaluating M&A opportunities that could potentially enhance our service offerings and returning capital shareholders through our dividend and approximately $75 million of year-to-date share repurchases. But we are mindful of the changing economic and industry environment. Our financial strength and customer focused strategy positions us well. We continue to pursue a balanced approach to capital allocation, which seeks to enhance shareholder value while targeting investment grade credit metrics. Overall, we are pleased to deliver another quarter of solid financial results and we are positioned to manage through economic cycles for the long-term growth. Now I’ll turn the call to Danny.
Danny Loe: Thanks, David. I’ll provide an update on the MoLo integration and give a high level overview of what we’re seeing on the yield side. Today marks one year since we closed the MoLo acquisition. Over the last 12 months, we have been focused on a successful integration. I’m pleased with the progress the team has made, including completing our systems integration ahead of schedule. We’re seeing benefits from our truckload business being a one operational platform and adopting MoLo’s approach to truckload customer service and carrier management. As we’ve mentioned before, the MoLo acquisition accelerate our pursuit of an increased mix of contractual business, which performs better and solved their industry conditions. Despite recent market changes, we are still seeing double-digit low growth over the prior years combined MoLo and Lexie [ph] truckload shipments. We continue to be encouraged by our ability to drive better margins through improved buy rates as a result of MoLo’s care management approach. And we remain on track with our previously stated financial goals related to the earn out from the acquisition. Overall, we have continued to deliver double-digit growth in the Asset-Light segment with plenty of opportunity for acceleration based on our continued investments in this business and the market opportunity we see. Now that all of our truckload team members are working out of one system, the largest parts of the MoLo integration are behind us, and we are ready to run. Combining our high demand managed transportation solution with the strengths of ArcBest and MoLo gives us more opportunities for growth and margin improvement. And we are focused on achieving our long-term target of Asset-Light margins from 4% to 6%. On the asset-based side, the pricing environment has remained rational. We finished the third quarter by securing a 6.9% increase on our deferred pricing agreements. Now I’ll turn it over to Dennis.
Dennis Anderson: Thank you, Danny. You hear us talk often about our customers because we work to make them the center of our operating model. We do a lot of listening and what we hear from our customers drives our work. Over the last few months, we’ve seen a shift from customers focusing on securing scarce capacity to prioritizing supply chain efficiency. This echoes what we heard years ago, which led us to build our managed transportation solution, which provides complete freight transportation management services to help our customers continually optimize their supply chains. And as more customers focus on sustainability to reach their ESG objectives, we are glad to have solutions like this in place to help them. This relatively new customer solution has tripled revenues since 2019 and has a deal pipeline stronger than it has ever been. All because we listen, adapt, and grow. I was recently with one of our customers who uses our managed transportation solution, and our visit reminded me how great it is to be part of their growth story. A few years ago, they came to us needing LTL services as their business outgrew parcel. And after a few years of providing LTL service for this customer, it became clear their needs were expanding again, because our philosophy is that when our customer wins we win. We took a true partnership approach. We began working on a managed solution for this customer that allowed them to reduce their supply chain costs by utilizing other modes like truckload. We then shifted focus to automation. Having our 400 person in-house technology team is a real differentiator for our customers. We’re at a point now where we’re auto tendering business and auto routing, which means no touch for us or the customer. Our customer forecast their business to double all without adding any head count, because we’ve eliminated their need to do data entry. As their business grows, we can continually help them optimize modes and carriers while looking for ways to make their supply chain more efficient and flexible. We’re proud to have received one of their coveted vendor awards and even prouder that we were the only supply chain partner recognized, even though we are one of their youngest tenured suppliers. We love stories like this because they show our strategy in action. As a result of this partnership, our revenue with this customer has grown almost 50% over the last 12 months, and we expect business to double in the next year. We’re absolutely focused on our customers and we provide solutions and technology that help them drive their business forward. We enable all of this because we are a people focused organization at heart. Nothing we do is possible without our great people, and it’s a testament to our culture that we hire for the long term. That commitment is evident in the recent recognition of ArcBest by comparably in their third quarter 2022 awards for best compensation and best company perks and benefits. These awards are based on employee sentiment and feedback over the last year across more than 70,000 companies, and they affirm that we’re focused on the right ways to reward and grow our people who in turn work to provide excellent customer experiences every day. Because of our culture, we have a substantial amount of experience throughout our organization. We see and feel that every day, but it’s especially rewarding when it’s recognized by others. And we were so proud to see Judy named last week to the Arkansas Business Hall of Fame class of 2023 for her contributions to our industry and the state of Arkansas. Congratulations on this honor, Judy. Now I’ll turn it back over to you.
Judy McReynolds: Thank you, Dennis. I really appreciate that. Before we conclude, I want to mention continue progress with our ESG efforts. We have engaged a third-party advisory team to help guide further development of our ESG roadmap, which will detail our three to five-year strategy and specific initiatives around emissions reduction and more sustainable operations. We understand the impact our industry has on the environment and are focused on developing solutions that help reduce that impact. I also want to recognize a milestone in our DEI journey. We recently announced a partnership with Integrate, an organization that helps higher and onboard neurodivergent talent. We’re reviewing our recruiting, hiring, and onboarding procedures to identify ways we can make those processes more inclusive, and we’ll be actively working to hire more neuro distinct talent. These employees can bring a unique perspective to a company’s efforts resulting in creative solutions throughout our organization. We look forward to providing a more inclusive workplace for all our team members. In closing, our growth strategy continues to serve stakeholders well. Investments in facilities and technology make it easier for our employees to serve as trusted advisors. In turn, they’re able to support and empower our customers in both their day-to-day supply chain operations and in navigating uncertainty. While we are proud of what we’ve accomplished in the last several years, we are not done. We’re committed to keeping the global supply chain moving, delivering on our goals and driving growth. That concludes our prepared remarks. David Humphrey, we can now open the call up to questions.
David Humphrey: Okay, Frank, I think we’re ready to take some questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Chris Wetherbee with Citigroup. Please proceed.
Chris Wetherbee: Hi, thanks. Good morning guys.
Judy McReynolds: Good morning.
Chris Wetherbee: So, I guess, I wanted to start on cost inflation and get a sense. We've heard from a couple of the competitors that cost inflation ex-fuels kind of running in the maybe 7% to 9%, let's call it, high single digit range. I guess I wanted to get a sense of if you felt like that was kind of the right rate for your asset based business and when you think about the pricing environment, particularly as we roll into next year, how do you think about pricing relative to that cost inflation? Do you need to do more work with productivity? Or do you think pricing can kind of offset most or all of that type of inflation?
David Cobb: Yes. Yes, Chris, good morning. I'll start and we'll probably have some comments from others here. But we do see the inflationary impact across our business in a number of areas. Certainly fuel is having an impact and that impacts not just direct diesel fuel costs, but other propane and then tires and then really across the board on some things. But that also is a – inflation along with the fuel costs can be a demand reduction from our – from the consumers. But we see and I mentioned the repairs and maintenance expense being elevated for us in the quarter and some of that has to do with the inflationary cost of that and also the supply chain issues that were there with getting parts delivered. But even our vendors, outside vendors that had mechanic shortages of labor shortages that impacts that as well. So we saw probably in the – for those kinds of items, parts and maintenance kind of in that double-digit percent increase on a part kind of basis increase. There is opportunity there, as I said, around our equipment coming on to improve that. And then you mentioned productivity, I think certainly that's a big impact for us. As I mentioned earlier, we had some new employees coming on and for instance in our dock operation we've got about a third of our employees now that because of the hiring and the retirements, we've got about a third that are – have experience that's under 18 months. And so as we know that that's can be an opportunity to gain some improvement there in terms of efficiency, which can drive some cost out of the equation.
Danny Loe: Yes. Chris, this is Danny. Just on top of what David said, yes, we feel the pressure for cost inflation that there is things we can do. We see opportunities that for us to control that, but ultimately at the end of the day, we have to price our freight to cover the cost of inflation. And like I said, the environment is still rational and we continue to feel that we can do that that there's value in our services we're providing to our customers and that we can cover the cost of inflation.
Chris Wetherbee: Okay. That's helpful. I appreciate it. And just quick follow up on the operating ratio I think you noted in the 8-K between 3Q and 4Q is typically an increase of 100 to 500 basis points. Can you just help us with a little bit of color around sort of how you think about that? I think you noted the high end is sort of what you experienced during declining economic environments. I don't know if you describe this as a declining economic environment or how you think about that range?
David Cobb: Yes, thanks. I think evidence indicates that the macro environment has softened and all the experts are predicting that it will soften further. But I'm confident in our strategy and optimistic about the opportunities ahead of us and in our ability to manage through economic cycles. I think, as Judy mentioned, at the outset of the call, we have more tools and data available today, improve yield management strategies and technologies to manage our business better. So I think that we're positioned to really manage through any economic environment better. I would just say, like I said, the evidence is pointing to a softer economic environment and our range is that in those declining economic environments in the past has been on the higher end of that range of OR that I stated. There is always puts and takes in a quarter. We have some areas that I pointed out in the third quarter that we've got to work on including cartage, including productivity, including the repairs and maintenance that some of those will take time to improve, but certainly on a path to improving that.
Chris Wetherbee: Okay. Thank you for the time. Appreciate it.
Operator: Our next question comes from Jordan Alliger with Goldman Sachs. Please proceed.
Jordan Alliger: Yes. Good morning. I was wondering give me a little more color given the slow down we're seeing on pricing. I know you say sort of over time it could cover inflation. What are your customers as you sort of talk to them about pricing doing? And then maybe put some color perhaps on the third quarter or what you're seeing in October in terms of maybe just the less than truckload yields perhaps looking at things on an ex-fuel type of basis. Thank you.
David Cobb: Hi, Jordan. One thing I'll just – kind of we talked about our deferreds in the 6.9% increase and the third quarter is still very strong. If you go back, historically it's one of our better quarters with – third quarters with 6.9%. So, there's still confidence that that customers recognize value. We're not alone in the fact that there's inflationary pressure on cost in this industry. And so, again, if our model produces values for our customers and we'll continue to rely on that model. But the flip side of that as well too is when you – if you take our integrated approach to logistics, if customers come to us and they're having supply chain cost increases, we're going to go back to manage solutions and talk to them about what we can to reduce that. We've been successful for that in the market when capacity was tight. And I'm confident we'll be successful in addressing that market when costs come up. And so that's the difference in the model that we have today is that regardless of the environment we're facing, we have an answer for our customers.
Jordan Alliger: Okay, thanks. And then on the asset-light side, I think you noted that the selling prices in the quarter dropped faster than the cost of transport, if I got that right. I mean, is that something that you would expect to sort of normalize or balance out in the coming quarters?
David Cobb: Obviously we do. We don't – it is a deflationary market. Market rates are dropping faster. We also – we have a balanced approach with our carriers. There are different pieces that we can do. MoLo has added to as their expertise in navigating this market. We are significantly better than we were in the past at doing this. Our truckload platform right now, we have extreme confidence in. We know that we can continue to invest for growth and then as the market starts to turn that we're positioned to grow faster than others in that area.
Jordan Alliger: Okay, great. Thank you.
Operator: Our next question comes from Jack Atkins with Stephens Incorporated. Please proceed.
Jack Atkins: Okay, great. Good morning and thank you for taking my questions. And Judy, I just want to echo the congratulations on the Arkansas Business Hall of Fame.
Judy McReynolds: Oh, thank you, Jack. Very nice. Thank you.
Jack Atkins: So, guess, David, my first question – David Cobb, my first question is for you. Could you maybe kind of put a little more color around what's going on with the cartage expense within the asset based business? And I guess as we sort of think about truckload costs coming down and employment just kind of being a little bit of a tailwind there, can we maybe kind of think about rents and PT kind of returning to more normalized levels? What's the timeline on that over the next, I don't know if it's year, year and a half, can you kind of help us think about that?
David Cobb: Yes, the cartage issue is really – well, there's two issues there, two items. One is purchase transportation rail over the road and then the fuel surcharge associated with those costs. So when you look at that on a year-over-year basis, those were all inflated along with our local pickup and delivery cartage usage. And that stems from – sort of the – coming out of this hiring challenge that we've had of getting drivers in the right locations. And so that can be – that can vary by location where you have challenges with that. So that's really where the usage of cartage kind of came about in the higher level than we would like. And so we have opportunity there that – that cost was I'll just say probably 30% higher year-over-year. And in the cartage line itself which is when you look sequentially the PT, the over the road has actually declined, but the cartage increased sequentially from second to third quarter. It kind of that same clip as it did year-over-year. And so, that's an area that as we bring on drivers and as we've done really well in doing that, we have a lot of opportunity to reduce that. And I hesitate to tell you about the timing on that. I know we've already taken some actions here recently. So we should see a reduction in the fourth quarter sequentially. We're doing a lot of work around bringing on particularly military veterans in a great focus on that. Our team is really focused to help bring in military veterans, who are good and disciplined, who are drivers as well, and developing our own drivers to do that. So our team app program we've talked about before and then our driver development program, all of those are contributing to solving this problem that we have. And so, yes, thank you.
Jack Atkins: Okay. Okay. No, that's helpful, David. Thank you. And I guess for my follow up question, Judy, I'm just curious on the – on the technology investments, we've been sort of ramping those up over the last few years. At what point do you think we're going to be at a place where we can commercialize some of those and maybe see some of the impacts that I know you've been sort of hoping for and investing for across the P&L? Is that something that could begin and materialized in 2023? Or is that something that could take longer to show up?
Judy McReynolds: I think it could in some locations and we've mentioned that we have locations where we're running that equipment and technology in Indiana as well as in Kansas City. We're currently suffering a little bit from the delays of equipment and on a particular piece of that equipment. And that's caused the things to go on a little bit longer than we like to in the pilot in Kansas City, but we should be riding that issue in the fourth quarter and then as we go in to next year really seeing the production of all that work come together. And we have seen signs of some of the, I think, key metrics being met that we wanted to early on that relate to some of the efficiencies. We certainly see the improvement for the customer in terms of claims and also we're seeing the results that we would expect related to injuries and that sort of thing as well being eliminated. But as we go into next year early, we're opening up Salt Lake City, which is a warehouse, and it's another environment where this mobile platform equipment and technology is going to be used. It will be good to have a second distribution center live with that. And so it will take some time to get the pilot work done in Salt Lake City, but we're applying all the knowledge that we've gained from these other locations into that, so we should go faster. So I'm expecting in the middle part of 2023 to be able to talk about tangible results and make some decisions about how we go forward. And I think that that will be beneficial, certainly internally, but it's also going to be beneficial to all of our investors and other stakeholders as well.
Jack Atkins: Okay. That's great. Thank you very much.
Judy McReynolds: Yes, no problem.
Operator: Our next question comes from Jason Seidl with Cowen. Please proceed. Jason, your line is open. Please proceed with your question.
Jason Seidl: Sorry about that. Can everyone hear me now?
Judy McReynolds: Yes, we can. Good morning.
Jason Seidl: Yes, perfect. Sorry about that. Good morning, Judy. I wanted to extend my congratulations to you as well. That's a great honor. 
Judy McReynolds: Thank you.
Jason Seidl: Can we focus a little bit on some of the weight per shipment trends? I mean, yours are going up and typically what we see in a slowdown is weight per shipment fading on the LTL side. Has there been – is this really more of a mix shift in some of your business getting away from some of those truckload business that you mentioned and then maybe some of the industrial business doing better than some of the more consumer related business?
Danny Loe: Hi, Jason. This is Danny. I think when we look through it, it goes back to optimization of our asset based network and making the right decisions. We had more tools, more visibility than we've ever had before. We're able to have daily, weekly decisions about what fits into the network. We talk a little bit about the shift in October that you mentioned within that. That wasn't a decision that we just made that let's shift that. That's what the market is telling us. That's when we do – when you talk through the optimization and you talk through the models that people that helped, it just happens because the market rates for truckload were dropping down and we're able to see that we could put more revenue into our trailers with some of these LTL shipments as compared to the heavy weighted truckload shipments. And so I don't know that you want to read too much into some of the profile shows because it's really about what our network needs and what we're doing to optimize it.
Jason Seidl: Okay. That makes a ton of sense. And then I wanted to follow up on – Judy, something you mentioned, you talked about now you guys have much more tools at your fingertips to sort of provide the right freight and your network provide the right resources. How should we think about that impacting sort of peak to trough margins, if you will, on a positive basis for ArcBest?
Judy McReynolds: Well, I think, Danny just talked about one of the main ones, but we are clearly focused in the asset-based network. On our published customers, our core LTL customers that we know, I think, 80% of our customers have been with us for 10 years. And that's just a great fact whenever you're trying to evaluate what business that you can have on a consistent level, but even those customers and this kind of environment can't predict specifics into their business. And so, as we mentioned, we have to be both – we have to be nimble and flexible and informed in the asset based network in order to know what's coming. And then on a daily basis, we can supplement that with the business that we gain from some of our quote opportunities and knowing information that's related to that, which we have especially with some of the technology that we were just talking about earlier, we have the visibility on our workforce and some of these choices that we make and how long it takes to handle certain shipments and that sort of thing. So we've got that as an input as well as the overall kind of typical dimensional work that we do on those shipments. All of that comes together in a way that allows us to know where we need more freight and we have great opportunities to access that. And I think because of all that, you're going to see a more consistent level of business. And as we go into areas where we've grown some capacity, we can take that into account as well. And so I just feel good about that. And also I think when you know as much as we know you can evaluate the pricing on that business and the profitability that you're targeting even better. And so it just comes together very well, but let me tell you this though we still have a lot of opportunity to improve. When we experience what we did during the pandemic and some of the lag on being able to hire as many people as we've needed to, we have a lot to improve on efficiency, communications, information for both internal needs and for our customers we have a lot to improve. And I'm glad with where we are, but I'm also looking forward to that.
Jason Seidl: Well, it sounds like with the improvements that you made you're in a better position now than you were sort of during the last downturn.
Judy McReynolds: Oh, absolutely. Well, and the other thing Danny mentioned already was just our overall approach with customers. When you see the world through their eyes, you're going to be more successful. And the more information that we have, the better we are.
Jason Seidl: Clearly, listen. I appreciate the time as always.
Judy McReynolds: Thanks.
Operator: Our next question comes from Ken Hoexter with BofA. Please proceed.
Ken Hoexter: Hi, great. Good morning. So look like…
Judy McReynolds: Hi, Ken.
Ken Hoexter: Hi, Judy. Good morning. Congrats as well. Your tonnage declined at 2% in September and accelerated down 4% in October. Maybe talk about the more muted peak obviously we had and maybe thoughts on your pace going forward as you now face some upper single digit comps over the next few months. So maybe I don't know if you or David want to chime in on that, then your – talk about the – in face of that your thoughts on pricing given that pace of volume declines.
Dennis Anderson: Hi, Ken. This is Dennis Anderson. I'll start and maybe others can jump in here. You asked the question about muted peak. And I think certainly you could look at what's going on in the retail environment and see the pulling forward of demand that happened really as a response to last year's challenges. And so certainly, we've seen that in our business, but as we've talked about earlier here, we've got a diversified customer base across retail, across manufacturing and supply chain challenges still exist. So while there is – there are some macro factors I think that are conspiring to soften demand. There is still supply chain needs that need to be met. And the fact is people need goods moved and we're in the business of moving them. And so supply chains are also not getting less complex. And so we feel great about having these services to be able to deliver to customers even in a period where the macro appears to be softening.
Danny Loe: Yes, Ken, this is Danny. I just kind of add on to what Dennis is saying, what I think about that, what you're talking [indiscernible] about it’s really about opportunities that we see. And so just one thing I want to go back and point to is our model just I was recently kind of looking our three most recent kind of managed wins that we had and each of those examples, freight went back to ABF. And so the more we talk with customers, the more we look at the opportunities that are out there, that's – that to me is why the model is different than what you've seen in the past is it's not just an LTL asset story, it's a logistics story about talking to our customers. And that creates more opportunities both for Asset-Light, but also it produces opportunities for the asset part of the business. I don’t think that a stat we’ve talked is 60% of our customers that came to us for Asset-Light also uses for asset business. And so to me that’s just another data point that talks about our model and why we see it being successful.
Ken Hoexter: Great. And then just on a different – completely different subject. So I guess the answer there, Danny, is then if I understand the customer’s coming back, but if tonnage, I just want to understand, are you going to see even tougher time given the comps are upper single digit? Is that likely to sustain? Are you giving an outlook in terms of thoughts on that into the full quarter?
Judy McReynolds: Well, Ken, this is Judy. One thing that I’ll say that we were encouraged by is when we looked at October to September, we had relative stability in our LTL-rated shipments, which that’s an indication and when we also had some increase in that category of wafer shipment. And the other thing I’d say is when we’re thinking about the future, we’re not giving guidance. We don’t give guidance, but we have strength in our pipeline that is really pretty encouraging whether it’s in the managed side of things or just the capability set that we’ve got with our truckload offering now. And being a year into it, I’m very encouraged about that. And then interestingly, I think MoLo’s strength in food and beverage is something that you can point to that has strength in recessionary-type environments. And then also there are elements of our asset-based business, that are serve – they serve service related businesses. One example I was thinking of in that regard is just our trade show business. It’s up a lot. And so there are some things that really will help us mitigate maybe some of the retail softness or if there is less manufacturing industrial activity. Although I think that remains to be unseen because there’s so many unfilled orders that we deal with that on our equipment side that I’m thinking that’s going to hang in there as we look toward 2023. But what we tell our team is despite the economic backdrop, we have a lot of opportunity and we need to go pursue it.
Ken Hoexter: That’s helpful. So my question on the other different subject was you kind of keep taking these innovative tech costs for three years now. You now have non-union vacation costs in there that you’re pulling out as one timers. Just want to understand, don’t they become OpEx at some point in terms of ongoing? Or is that what you were talking about to Jack [ph] next year in 2023? It becomes OpEx as you make a decision on keeping?
Judy McReynolds: Well, Ken, I know you’re making a general statement there. But what we try to do is show you what we feel like the true operating costs or the operating performance of the company is. What we don’t want to do is end up on a call like this, talking about those one offs, which tends to happen if you leave them in there. So our view is just show you what’s unusual and so that we can talk about the business and how it’s performing. But certainly, that’s a fair question related to some of our technology and innovations costs. Once we have those locations, what we characterize as operational, in other words, they’re not being piloted and we’re not changing, the approach that we’re using in those facilities, we feel like those need to go in. So we’ve had one of the two of our Indianapolis facilities as considered operational. We expect in 2023 that the other one likely will be Kansas City is still going to be in pilot again, partly because of some of the equipment delays that we had related to that. But certainly Salt Lake City, if we’re opening a new location there and we’re using a different approach to pilot, that will be considered as a non-GAAP item. And so we’ve got a methodology that we’re applying to that. We’re trying to be constructive with what you see in terms of what’s operational. And yes, the answer is as those things operationalized, they will be folded in.
Ken Hoexter: Great. Thanks for the time. Appreciate it.
Operator: Our next question comes from Todd Fowler with KeyBanc Capital Markets. Please proceed.
Todd Fowler: Great. Thanks and good morning.
Judy McReynolds: Hi, Todd.
Todd Fowler: Maybe can you help us, hey, good morning. Can you help us think about some of the flexibility that you have, if we do enter a more prolonged softer tonnage environments, if it’s next year at some point in the future? And maybe specifically probably around labor expense. I mean, that’s the biggest bucket on the asset-based side. So how would we think about maybe the variability you have with variable labor costs or headcount attrition if tonnage trends continue to moderate?
Judy McReynolds: Well, I think more so than the labor category that what David mentioned earlier about how we will more – I guess better manage our cartage and other rented equipment, purchase transportation. That’s really kind of the main lever, because honestly it has been very difficult to get the right people hired. It takes a while to get these people trained and to be efficient. So we’re going to be stingy a little bit about that labor category because of what we’ve been through. I’m sure that you’re hearing other companies say that as well, but the setting that aside for a minute, we do have some great opportunities in these other areas to better manage costs, because we’ve had to use those levers because of our suboptimal situation with hiring. But in 2022 or the last 12 months, we’ve hired over a thousand people. We’ve never hired more people into the company. And as David mentioned when you go back to that labor category, the big opportunity there is greater efficiency gain out of those people that we have hired. And we’ll continue to have retirements on the driver workforce especially. We’re going to – we’ll continue to have those so that is one continuing thing. And so maybe one way to think about it is we might be less aggressive in hiring in some of these locations that we really don’t need people and just by the natural course of things, you end up in the place that you need to be. But we’ve been through lots of scenarios like this, I mean this one is no different than the others, but it’s just the predictability of it is just not there. And so you just have to be flexible and nimble. And I like our opportunities to use some of our quoted business to help us along the way to optimize the network. That’s an important fact too.
Todd Fowler: Okay, got it. That’s helpful. I know there was a lot of talk about where PT is right now and where it could go so that’s helpful context. Maybe for a quick follow-up, Danny Loe, can you comment on within the brokerage business, what percent is contract versus spot and where you see that trending going forward? And then is 2023 a year where Asset-Light is in that 4% to 6% margin range. Now that you’re on one platform and you’ve got the integration kind of moving where you want it to be? Thanks.
Danny Loe: Yes, Todd. I’ll start with the back. You mentioned the 4% to 6%, that is we still point to that as our long-term financial target for that. So I won’t get into 2023, I’ll just kind of leave you pointed to where the longer goal there. When you look at the spot and contractual business, I won’t talk specifically and the brokerage. I kind of just talk overall that when you look at it that we’re heavily in the contract business than we’ve been in the past. And that’s actually kind of shifting as you go through the cycle that you’re in now, is that I think the cycle that you’re seeing now is that more and more shippers that have contractual rates are seeing the disparity between contract rates and spot rates right now. And there’s pressure on those shippers to lower costs. So you can see business, it’s kind of a fluid that you see contract go to spot and maybe back to contract with the lower rate. And you haven’t seen that completely in the numbers, but that’s kind of what you’re seeing now. So I won’t get into the specifics of the contract to spot, but hopefully that gives you kind of a flavor of overall that there’s just some fluidity as the shippers are trying to find what is the best choices that they make in the current market as the rates are moving.
Todd Fowler: Yes. Okay. Understood. Thanks for the time this morning.
Operator: Our next question comes from a Scott Group with Wolfe Research. Please proceed.
Scott Group: Hey, thanks. Good morning.
Judy McReynolds: Good morning, Scott.
Scott Group: Good morning, Judy, I want to go back to the sequential 3Q to 4Q commentary, because it’s been – I guess it’s been a decade since the March the fourth quarter’s been 500 basis points worse than 3Q. And I went back – last year, you talked about it, the normal seasonality being 200 basis points worse. And so you changed the sort of the language and I just feel like, should we really, I want to get the model in a good place. Like do you really want us to be thinking about the upper end of that range of closer to that 500 basis point deterioration?
David Cobb: Yes. Hey, Scott. I just wanted to give you the history for one, right? And it’s certainly evident that we’re in a softer environment. We’ve got lots of opportunity, like I said, great strategy that we’re executing on and so, but we do have to execute right to achieve that. And we’ve got a number of cost items like that I pointed out. I don’t think we have to go back through that, but those are some of those things will take some time to improve from the third quarter as we move into the fourth quarter. And of course the fourth quarter has just a lower total revenue just given the fewer number of days. And so you – some of your fixed costs don’t move obviously as well when you have a lower revenue, things like depreciation. So as we’re taking on this depreciation – this new equipment, our depreciation is a little heavier loaded in the back half of the year or in the fourth quarter in particular. The maintenance, like I said, that can be reduced as we bring on the equipment, but that’s again, some of that’s kind of a fixed element to it as well. Facility cost supervision, many of those things aren’t going to move as quickly as the revenue might, lots of puts and takes in any given quarter. I guess another benchmark would be the 2015 time period. We had a GRI early in the year and I think the sequential third quarter to fourth quarter or [ph] was in the 350 basis point kind of move. So that’s just as a matter of reference. So hopefully that helps.
Scott Group: Okay. And then on the Asset-Light margin, I know the range is the targets 4% to 6% fell a little bit below that in Q3. Do you think we should sort of stay below that in the near term in Q4?
David Cobb: As we’ve talked about we’ve made great progress with the MoLo integration. And on one operating platform, we’ve got – what we’ve invested through the year as you can see, and in our financials of what we’ve – we’re positioned really to grow from here. And opportunity again, execution, we’ve got the opportunity in front of us. We’ve got to execute to be more productive really on our – I think Danny will agree with me here on this more productive on our brokerage floor. And so there’s opportunity there. But in the near term, again, we’re looking at this from a long-term standpoint. It’s a combination of both growth and margin improvement. But it’s – but and so in the near term, we may be pressured by that as market dynamics will play a part of it on the margins, on the gross margin side. But also our productivity as we’re developing this ability to operate at a better level. So near term, the overall operating margins could be pressured as we head toward that growth and longer-term operating margins.
Judy McReynolds: But one thing I’ll just add is I really like the combination of the MoLo leadership knowledge about how to effectively manage net revenue by the carrier acquisition costs in this kind of calculation. But also the influence that our yield team has overall of that. So I think we’ve got a best-in-class combination and knowledge there to help us navigate through this. And I’m encouraged about that. But I agree with David, we’re built for more business and we’re looking toward those 2025 targets.
Danny Loe: Yes, just to echo what Judy said, we know our floor can be more productive than it is today. We have initiatives to make the formal productive, but the key is to grow, the best way to be more productive is to add more ship truckload shipments to the floor. And so we’re focused on that. And again, we’re focused on the long-term goals when we point to 2025, maybe there is short-term pressure, but we, again, our confidence in our truckload model has never been as strong as it is today.
Scott Group: Very helpful. Thank you guys.
Operator: Our next question comes from Ari Rosa with Credit Suisse. Please proceed.
Ari Rosa: Hey, good morning, everyone. So I wanted to actually stick on that.
Judy McReynolds: Good morning.
Ari Rosa: Hi, Judy, and congrats as well.
Judy McReynolds: Thanks.
Ari Rosa: I wanted to stick on the theme of what we were talking about there about kind of balancing growth against thinking about margins. One of the things that I’ve noticed, and maybe it’s just because you guys put out press releases about this. But I see all kinds of hiring events that you guys are doing around the country. And you’re doing that in a slowing – kind of a slowing macro environment. So, is it worth maybe kind of rethinking how you’re going about kind of the growth versus margin equation? Because it seems like the concern for investors with ArcBest has often been around margin deterioration in downturns and maybe not being able to hold onto these margin gains. Does it make sense to maybe show that that model can work before refocusing on growth? Or is there a reason that we’re not aware of something like the pipeline, which you talked about earlier which maybe suggests that these hiring initiatives actually make sense and somehow, you have the volume coming online that justifies those hiring initiatives?
Judy McReynolds: Well, if you knew, what we know, which I’ll share with you is that we’re doing those hiring initiatives in very targeted locations where we absolutely do need to add to that workforce because either we are already experiencing retirements or we’re aware that there’s upcoming retirements in those areas, or we’re – we’ve got an input into there regarding natural turnover rates. But the very important thing to keep in mind there is the hiring results in the most efficient cost, because you’re able to work through some of these other issues. Cartage for instance, is a great example of that. So, we want to give great service to our customers and we want to do it through trained efficient people, and we want to do that in overall most cost effective approach that we can. And so the hiring is just not to add someone on top of what might be a cost structure that suboptimal in a downturn. It’s to make that more efficient and more consistent. And again, a tool or tool set that we have that we really haven’t had as much of in the last downturns that we’ve experienced is the ability to add shipments in a targeted way to those locations or those trailers where we need it. And so there’s – we’re headed toward I think a more consistent place and more sustainable place and one that has efficiency at the top of the list of things that are in mind.
Ari Rosa: Got it. Understood. And then kind of given the declining volume environment or some pressure on volumes, maybe you could talk about how you think about your ability to continue to take price kind of given where service levels are? Can we see pricing continue to be pretty resilient going into 2023?
Danny Loe: What we’ve seen, again, I’ve say that the environment’s been rational. I think that we’ve seen the industry have extreme pricing disciplines. We’ve gone through the last pieces of it. I think if you think of the micro environment with the – whether it’s the cost of the inflationary cost, we’re seeing the cost for employees in different pieces with that. From our standpoint, it’s – you have to have the price increases to cover these inflationary costs. And so for us, we think that is we’ll continue to rely on the value we’re providing to our customers. Again, the flip side is if we have customers that are pushing a price conversation that is not sustainable for our asset part of the business, we have a conversation about their whole supply chain. And really what turns out in that case is we’ll go back and we’ll work on lowering the cost of their supply chain and that usually results in a different type of business that comes into our asset network, but business that works at the price point that we’re able to offer to them.
Ari Rosa: Okay, makes a lot of sense. Thanks for the time.
Danny Loe: Thanks, Ari.
David Humphrey: Hey Frank, I think we’ve got one more time for one more to get in.
Operator: Our last question comes from Jeff Kauffman with Vertical Research Partners. Please proceed.
Jeff Kauffman: Thank you. Hey everybody. Thanks for squeezing me in, and Judy, that’s a fantastic honor. Congratulations.
Judy McReynolds: Thank you so much, Jeff. It’s good to talk to you today.
Jeff Kauffman: Good to be on the call. So a lot of my questions have been answered. So I want to focus a little bit on Asset-Light, because we do anniversary in MoLo today. And you mentioned the rev per day was up 40% for this business, but that included an uneven comp with MoLo. So I guess two questions. Number one, what did that revenue per day growth look like, excluding the impact of MoLo in October. And I – you did a great job talking about some of the temporary or unusual costs that were negatively impacting LTL. Was there any of that negatively impacted the Asset-Light this quarter?
Danny Loe: Jeff, this is Danny. We haven’t provided that comp without MoLo. I would point back to that. I did mention in there that we’re seeing double-digit shipment growth when you consider the legacy business, both businesses in the past. And so, your revenue question becomes what’s revenue per shipment going to be compared to volume growth? And I’m not going to give a forecast on what I think that what happens in that situation. I think on other inflationary piece that you talked about, other ordinary costs, I think when you’re in an inflationary environment like this, it’s tough and on your care management before because you’re getting pressure of lowering rates at the same time trying to do that. So there is some of that built in. Where’s the trough of that? I don’t have the answer for you of when the trough is, but there are definitely some other inflationary kind of temporary costs in there just because of their current environment that you’re in.
Jeff Kauffman: That’s my one. Thank you, everyone.
David Humphrey: Thanks a lot and we appreciate everybody joining us this morning and we appreciate your interest in ArcBest. And this concludes our call. Thank you.
Operator: That does conclude the conference call for today. We thank you for your participation and as that you please disconnect your line. Have a great day everyone.